Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2013 Summit Hotel Properties Inc. Earnings Conference Call. My name is Erika and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) I’ll now like to turn the call over to Dan Boyum, Vice President-Investor Relations. Please proceed.
Dan Boyum: Thank you, Erika and good morning. I’m joined today by Summit Hotel Properties’ President and Chief Executive Officer, Dan Hansen; and Executive Vice President and Chief Financial Officer, Stuart Becker. Dan and Stuart have prepared comments related to our fourth quarter 2013 release and filing. And following these comments you will have an opportunity to address any related questions you may have. As a reminder, this conference call is the property of Summit Hotel Properties. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Summit is prohibited. Please also note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to numerous risks and uncertainties both known and unknown as will be described in our 10-K for 2013 and our other SEC filings. These risks and uncertainties could cause the results to differ materially from those expressed or implied by our comments. Forward-looking statements that we make today are effective only as of today, March 17, 2014. We undertake no duty to update them later. Our earnings release contains reconciliations to non-GAAP financial measures referenced during this call. If you do not have a copy of our release you may view and print it from our website at shpreit.com. Please welcome Summit Hotel Properties’ President and Chief Executive Officer, Dan Hansen.
Dan Hansen: Thanks Dan. And thank you all for joining us today for our fourth quarter 2013 earnings conference call. On the call today, I will update you on operating and portfolio results. And then turn the call over Stu Becker, our CFO, who will provide more detail on our financial performance for the quarter and the full year 2013; discuss our balance sheet and liquidity, and then finish up with a review of our initial outlook for the first quarter and for the full year 2014. Let me begin by saying we are very pleased with the performance of our portfolio in the quarter, which finished above our prior expectations. Our same-store RevPAR growth for the quarter was 6.1% compared to the fourth quarter 2012 continuing the trend we experienced in 2013. As you may recall, our third quarter conference call, we had exhibited some concern about potential softening in RevPAR growth in the fourth quarter, which we attributed to the government shut down. In addition, we had difficult fourth quarter comparisons in several of our southeast hotels due to non-recurring [FEMA] [ph] and insurance related travel post Hurricane Isaac in 2012. Given these factors, we are obviously delighted with the fact we are able to accelerate our pro forma RevPAR growth to 6.9% and again achieve RevPAR growth ahead of the Smith Travel reported growth of 5.3% for the upscale segment as well as the overall U.S. growth of 5.4% in the fourth quarter. Summit’s pro forma RevPAR growth in the fourth quarter was driven by a combination of a 4.8% increase in pro forma average daily rate to $110.68 and 141 basis point increase in average occupancy to 69.7%. Following a couple of quarters in which our New Orleans property had extremely difficult comparisons to the prior year and some softness in demand across the market the fourth quarter was excellent for these hotels and we’re thrilled with their performance. Our five hotels in New Orleans as a group posted RevPAR growth of 19% in the quarter. We recently completed renovations on three of those hotels and are expecting steady improvement in this market in 2014 and 2015. Our recently acquired portfolio of four hotels located in Indianapolis and Louisville also had a strong fourth quarter posting RevPAR growth of 12% as a group. As we discussed on some of our previous calls, our asset management team has been working diligently with these properties to fix the mix. We are already seeing the positive results of these efforts with less reliance on group demand. And we expect these trends to continue into 2014. Moving on to acquisitions, we have deployed the capital raise last fall into additional high-quality hotels and continue to be patient, selective and measured in our pace. To that end, in the fourth quarter, we acquired three hotels comprising 436 rooms for a total purchase price of $63.4 million or $145,000 per key. Specifically in October, we acquired 115-room Hampton Inn & Suites located in Ventura, California for $15.8 million including the capital improvements we plan to implement. This hotel was built in 2004, and is conveniently located near several large corporate demand users including Verizon and Lockheed Martin as well as leisure demand generators such as Hollywood, Beverly Hills, the Pacific Coast Highway and Malibu’s pristine beaches. We plan to invest approximately $1.4 million on capital improvements over the next 12 months with estimated forward capitalization rate in the range of 8.5% to 9.25%. We also acquired a 108-room Hampton Inn & Suites in San Diego, California for $15.2 million including the planned capital improvements. This hotel benefits from both strong weekday business as well as weekend leisure demand given its convenient access to most of San Diego’s major attractions. The hotel was built in 2008, and we project an estimated forward capitalization rate in the range of 8.5% to 9.25%. In December, we acquired the 213-room Hyatt Place located in Minneapolis, Minnesota for $32.5 million. This hotel is located in the core CBD and is within blocks of major corporate and leisure demand generators. It is also connected to the city skywalk system providing convenient access to office towers, restaurants and retail stores. We anticipate and estimate a stabilized capitalization rate in the range of 8% to 9%. In total, for the year 2013, we acquired 19 hotels adding 3033 rooms, while increasing our presence in an additional eight markets and ending the year with 89 hotels. Our acquisition pace has continued into 2014 as we have already acquired four hotels for $126 million. In January, we acquired 182-room Hilton Garden Inn in Houston for $37.5 million; a 98-room Hampton Inn in Santa Barbara for $27.9 million and 101-room Four Points by Sheraton in San Francisco for $21.3 million. In addition, we closed on the recently announced 210-room Doubletree by Hilton in San Francisco for $39.1 million last Friday. Regarding our dispositions, in the fourth quarter we sold seven hotels and 3 parcels of land for a total of $23.9 million. For the full year 2013, we sold 15 hotels with a total of 1143 rooms and 5 parcels of land for total proceeds of $58.6 million. And so far in 2014, we’ve sold another two hotels, the 89-room AmericInn Hotel & Suites and the 57 room Aspen Hotel & Suites both located in Fort Smith, Arkansas. So in 2013, we exited four markets that did not fit the company’s growth profile, while redeploying capital into hotels and larger markets that should provide better long-term growth. Our capital recycling club program is now largely complete but will continually review our portfolio for additional dispositions on an opportunistic basis. Turning to our renovation programs, in the fourth quarter of 2013, we invested $18.4 million and for the full year 2013, we invested $46.9 million. During the year, we completed 17 significant renovation projects encompassing such improvements as lobby and public space upgrades and guestroom renovations. The renovation of the legacy portion of our same-store hotels is nearly complete. The additional renovation projects in the same-store portfolio for 2014 are acquisitions that we’ve owned over a year and are now staged for the renovation. We remain excited about the work we have done to improve the quality and cash flow at the property and ultimately the value we are creating throughout our portfolio. To provide a sense of the type of projects included in our renovation program, I would like to provide some detail on a couple of our larger recent projects. In 2013, we commenced an upgrade program for two recently acquired Hyatt Place hotels in Orlando. These hotels were updated to include re-designed lobbies and common areas with an expanded amenity package. In addition, all guestrooms were updated with new beds, carpeting and wall coverings and completely renovated the swimming pool at both hotels. Finally, the fitness centers were renovated and updated with new equipment including a new roof and fresh exterior paint renovation expenses totaled $3.7 million and were completed in the fourth quarter of 2013. In New Orleans, we completed a full renovation of the Courtyard by Marriott at the Convention Center. Guestrooms were updated with the newest Marriott package featuring the new color pallet, new furniture, beds, wall coverings, lighting, bath tile and wall paint. The exercise room was updated with all new finishes and fitness equipment. The hotel common areas were updated to include new lighting, hallway carpet, tile and wall coverings which complemented the lobby and bistro improvement that were completed in 2012. With a total cost of approximately $2.8 million, we completed this renovation program at the end of the third quarter 2013. These two examples should give you a sense for the type of projects we completed in our ongoing effort to improve the quality of our portfolio. Going forward, our renovation program will continue as a core initiative. And we look forward to providing continued updates on future calls. As we look ahead, we are committed to working diligently to unlock additional value from our portfolio through strategic and thoughtful investments, focused asset management and selectively adding resources to better support the growth of our company. We expect to continue to execute our strategic initiatives to create and harvest value for all shareholders in 2014 and beyond. With that I will turn the call over to our Chief Financial Officer Stu Becker.
Stuart Becker: Thanks Dan. Good morning everyone. I will provide further detail on our financial and operating results for the fourth quarter and full year 2013. Then I will update you on the balance sheet and liquidity position both at year end and currently including the effect of our transaction activity thus far in 2014. I will conclude by providing some perspective on our outlook for 2014. Beginning with our quarterly results. For the fourth quarter 2013, we reported adjusted FFO of $0.14 per share. For the full year 2013, our adjusted FFO was $0.81 per share which was at the high-end of the range of guidance we provided on our third quarter conference call. Pro forma hotel EBITDA for fourth quarter 2013 was $24.1 million, an increase of 13.2% as compared to fourth quarter 2012. Hotel EBITDA margins for the quarter were 30.9% which represents an expansion of 165 basis points compared to fourth quarter 2012. Moving on to the balance sheet, maintaining a strong capital structure with multiple sources of available capital has always been a hallmark of our company, and we enter 2014 in an excellent position. At year-end 2013, we had total outstanding debt of $436 million with a weighted average interest rate of 5.03% and a weighted average term to maturity of 5.6 years. During the quarter we closed on a new $300 million senior unsecured credit facility to replace our $150 million secured revolving credit facility. The new unsecured credit facility is comprised of a $225 million revolver and a $75 million term loan. The credit facility has an accordion feature which allows us to increase the capacity by $100 million subject to certain requirements and either additional revolver capacity or term loan. As a result, we were able to reduce our all in funding cost by approximately 50 basis points. During the quarter, we repaid $37 million of secured debt with no associated prepayment penalties and we ended the quarter with net debt to trailing 12 months EBITDA of 4.2x. Incorporating the effect of acquisitions completed subsequent to year-end, we currently have $86 million outstanding on a revolving credit facility. Including available current capacity on our line and cash and cash equivalents on our balance sheet we have available capacity of approximately $140 million to fund growth initiatives. On January 30, 2014 the company declared $11.25 per share quarterly dividend on its common stock was paid to shareholders of record on February 28 2014. Turning to guidance for 2014, in our release this morning we provided guidance for full year adjusted FFO of $0.84 to $0.92 per share. For the first quarter 2014, we provided guidance for adjusted FFO of $0.17 to $0.19 per share. Metrics supporting our guidance are provided in our release but let me summarize a few key points. For 2014, we assume pro forma RevPAR growth of 5% to 7% and same-store RevPAR growth of 4% to 6%. We have incorporated renovation expenses of $35 million to $45 million as well as the benefit of acquisitions closed year to-date. We have assumed no additional acquisitions going forward. Finally, as disclosed in our release and also in our 10-K that will be released later you will see reference to a material weakness which management identified in our year-end examination of our internal systems and controls. This issue relates to our controls at the individual hotel’s balance sheet and resulted largely in reclassification of entries within certain balance sheet line items in the process of resolving the issue to the satisfaction of our Board of Directors and auditors. With that I will turn the call back to Dan.
Dan Hansen: Thank Stu. We are pleased with our results for the fourth quarter and full year 2013 and we look forward to 2014. We entered the year with many freshly renovated hotel properties. We have dominant leading brands and an asset management team continuing to work to drive the performance of our hotels. With our strong balance sheet and ample capital we are positioned to support the continued execution of our growth strategies. With that we’ll open the call to your questions. Operator?
Operator: (Operator Instructions) Our first question comes from the line of Ryan Meliker with MLV & Co. Please proceed.
Ryan Meliker – MLV & Co: Hey, good morning guys. Just a couple of quick ones here for you. First of all, with regards to your 2014 outlook your RevPAR numbers look solid, but FFO is coming in, I think lower than – looks like consensus was expecting. Is that driven by property margins coming in not as robust for you as may be the street expected, or is there something else that might be impacting FFO that we don’t necessarily include in our numbers?
Stuart Becker: Yes. I think relative to consensus as you know we’re reporting just on our in-place hotels at this point in time. I think several of our analysts have probably built-in some additional acquisitions we have been very active over the last year and so some of the analysts were…
Ryan Meliker – MLV & Co: Got you.
Stuart Becker: …assumed some additional acquisition so that distorts the numbers a little bit.
Ryan Meliker – MLV & Co: So can you give us any color on what type of margin growth you’d expect at the low-end and the high-end of your RevPAR ranges?
Stuart Becker: Yes. We ended up with 100 basis points of margin expansion or pro forma basis last year we thought that was a solid year. I think there is a few, a couple of items that might have impact this year a little bit more on the taxes real estate tax we’re starting to see some more impact from that, that will hurt some margins to some extent. Also we saw a few brand initiatives, some push on some costs that will be brought out about by the brands that will have some impact. But I would think that 25 to 75 basis points of margin expansion is sort of built into those FFO expectations.
Ryan Meliker – MLV & Co: Great. That’s helpful. And then the second thing was, can you give us a little more color on the material weakness that the new auditors found and whether that’s going to have any implications going forward?
Dan Hansen: Sure. We don’t see any implications going forward. Our team discovered the individual hotel balance sheet didn’t match our consolidated balance sheet, so it did require numerous reclassifications, did not result in a misstatement - restatement so we feel good about the process and working with our new auditors to tighten up the controls in reporting.
Ryan Meliker – MLV & Co: All right. That’s helpful. That’s all from me. Thanks a lot guys.
Dan Hansen: Thanks Ryan.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank. Please proceed.
Chris Woronka – Deutsche Bank: Hey, good morning guys.
Dan Hansen: Good morning, Chris.
Chris Woronka – Deutsche Bank: Dan may be you could talk a little bit about kind of the size of the pipeline you guys look at right now and then maybe in the context of your current balance sheet capacity? And may be also how many hotels you might consider noncore, just trying to get a sense for how the buys and sells might potentially stack up this year?
Dan Hansen: That’s a good question, it’s Dan. I think that the size of the pipeline for us hasn’t changed materially. There is still quite a few one-offs and small two asset and may be three asset portfolios that we see and we get a look at, as we’ve talked about before we’re very tight with not just the brand companies but the hotel owners. So I think the size of the pipeline hasn’t changed materially. I think it’s really a result of the capacity that we have maybe $140 million to $150 million is where we see a capacity and that could – you’d likely see us as we have in a more steady and measured pace. As far as dispositions, we’ve kind of gotten through the recycling of the non-strategic hotels now. There could be maybe one or two throughout the year that we consider selling. But on an opportunistic basis, if there is a local owner operator that brings us an offer of something that we feel is compelling we would certainly entertain those offers. So I think you could, I wouldn’t think to build a whole lot into the disposition side if that’s the question.
Chris Woronka – Deutsche Bank: Okay. Got you. And then you guys obviously acquired the Hyatt Place Minneapolis late last year and you’re under contract for that, for another hotel in Minneapolis. And then you recently bought two in the San Francisco airport area. I guess are those – is that part of – kind of a newer cost shrink strategy and I guess are there any other market specifically you’re looking at or would you go deeper in some of the existing markets?
Dan Hansen: This is Dan, again. I think that those are opportunistic where the deals came about, I don’t think we’ve had a target list on either Minneapolis or San Francisco they both fit the criteria that we look at which are top 50 markets that have multiple demand generators and we’ve been fortunate through a lot of work to be able to bring opportunities to the company. So I wouldn’t say that we are more or less inclined to grow in either one of those markets just that we like those markets and those are – if other opportunities present themselves we would not be afraid to add a few.
Chris Woronka – Deutsche Bank: Got you. And then just finally from me. With all the additions and subtractions you had throughout 2013, and some of the market changes in terms of [ones] [ph] becoming more important than others how should we think about seasonality this year? Has it changed dramatically since maybe 2012 or 2013?
Dan Hansen: I think, it’s Dan again. I think the seasonality is always going to be an issue just because of the nature of the business you’ve got November, December, January and February are going to always be the four months that are the slowest for the majority of the country. I think it won’t be, it will be a slightly less seasonal but not on a material basis.
Chris Woronka – Deutsche Bank: Okay, very good. Thanks.
Dan Hansen: Thanks Chris.
Operator: Your next question comes from the line of Gaurav Mehta with Cantor Fitzgerald. Please proceed.
Gaurav Mehta – Cantor Fitzgerald: Thank you. Good morning. Couple of questions on external growth. So as you think about acquisition in 2014, can you talk about the kind of volumes that you’re seeing in the market specific to your product type and also can you comment on the buyer and seller profile in the market?
Dan Hansen: Sure. The volume I think as many of you have seen has been quite high with several billion dollar portfolios coming to market and I think that’s the result of portfolio purchases done during the last cycle that may be need – coming to the end of the term of many of the private equity funds that bought them. So I think the sheer volume is pretty enormous right now. It doesn’t change a lot for us. We’re not huge portfolio buyers. We’re one-off real strategic buyers, but the buyer and seller profile I think is a little bit bifurcated between the large portfolios which are predominantly private equity groups and then a lot of what we see is the owner-operator that might own one or two or five hotels for – those would be the typical sellers. The buyers are a mix of public REITs like us some that have a nationwide platform like Summit and then some that maybe more focused on the coast. And then you also have the new private equity funds out there in some owner operators or some management companies rather that are partnered with private equity. So it’s a pretty competitive environment on a portfolio basis, but there is a lot of volume out there as we discussed.
Gaurav Mehta – Cantor Fitzgerald: And then the second question I have is on the cap rate. Are you expecting any movement from the cap rate in 2014?
Dan Hansen: I think we’re always pushing for the greatest return we can for our shareholders. I would think at the margin we should see some movement in cap rates, but I don’t think at the levels we’re buying at we would expect a whole lot more.
Gaurav Mehta – Cantor Fitzgerald: Great. Thanks for the questions.
Dan Hansen: Thank you.
Operator: Your next question comes from the line of David Loeb with Baird. Please proceed.
David Loeb – Baird: Good morning.
Dan Hansen: Good morning, David.
David Loeb – Baird: I can talk. I will ask you a question. The tax in the 2014 guidance that’s non-cash, is that right?
Stuart Becker: Correct. The tax in the guidance for 2014 would be – I think we provide a guide of $2 million to $3 million of tax. We anticipated that if you recall for the last three years, we have been in a benefit position. So we didn’t anticipate paying tax in 2014. But regarding the tax, we have – GAAP requires us to – after we have had three years of benefits to actually, we accrued again an NOL and asset on our balance sheet from those $5 million. We essentially set up the reserve to reduce that down to zero. So in the future, if we show, we have tax obligation in 2014 and beyond, on the face of our income statement, we may not show tax because we are using reserve to offset it. But, we would adjust in our AFFO presentation, the results that we wouldn’t – be paying taxes in the year.
David Loeb – Baird: But not actually paying cash taxes in the year?
Dan Hansen: We are paying taxes correct.
David Loeb – Baird: Okay. And Dan just one more on acquisitions, what would motivate you to pull a trigger on an acquisition today?
Dan Hansen: I think creating value for our shareholders. And I think we have still good capacity to continue to add value in the portfolio, but it really is a filtering process from the market, the quality of the brand, the location of the brand and the return we can get for our shareholders. So we have become even more selective and more patient. So there really has to be a something that rises above much of what you see in the marketplace to-date to peak our interest at this point.
David Loeb – Baird: Okay. Thanks.
Operator: Your next question comes from the line of Wes Golladay with RBC Capital Markets. Please proceed.
Wes Golladay – RBC Capital Markets: Hey, good morning to everyone. Looking towards the renovations, well, most of your acquisitions bps to be done by the end of this year?
Stuart Becker: I would say we have telegraphed the $35 million to $45 million for capital spend this year. It has materially moved into the bp work on the new acquisitions those hotels we bought over the last 12 to 18 months. So as we clear through quite a bit of impact in the first quarter here and then some more impact on fourth quarter. If you recall, our slow periods tend to be the end of the year and early in the first part of the year. So we will continue to do more renovations in those periods. But as we complete the CapEx work at the end of 2014, I would anticipate unless we were happen to make more acquisitions and there will be more bp work to do. We will continue to see a slowdown in CapEx expend on 2015 and beyond.
Wes Golladay – RBC Capital Markets: And you have any kind of I guess ballpark range for how 2015 will, just for the existing portfolio buying any other acquisitions, could that follow to the 20 to 25 range or even lower?
Stuart Becker: Yes. Have not provided guidance on that, I’m not going to speak to that today. But I do would anticipate there would be a fall off from the pace of the last couple of years.
Wes Golladay – RBC Capital Markets: Okay. And I don’t know if we could talk about this online or offline. But, you have any kind of gauge about the EBITDA impact of the bp work this year?
Stuart Becker: So the impact for – I’m sorry for renovations this year?
Wes Golladay – RBC Capital Markets: Yes. Yes. For the renovations, trying to get like a normalized valuation for this year. I know you guys have some material disruptions in some of the properties?
Stuart Becker: Yes. We have provided some guidance language in our release regarding impacts both from RevPAR and from EBITDA impact. We will have to look back in the release. There we have provided some information regarding it. Think we had anticipated in the first quarter of 2014 somewhere between $700,000 to $900,000 of EBITDA impact result of disruption from renovations. We did not speak to the full year, but that would be the impact in the first quarter.
Wes Golladay – RBC Capital Markets: Okay. Thanks a lot.
Dan Hansen: You bet.
Operator: (Operator Instructions) Your next question comes from the line of Matthew Dodson with JWest LLC. Please proceed.
Jon Evans – JWest LLC: Hey, Dan. This is Jon Evans. I was just curious maybe if you could delve in a little bit deeper to the first question. So obviously in your guide, your RevPAR is inline kind of with the industry. But the margins are less. And I guess, can you just help us understand why you would perform so poorly on the margin side because no one else is really guided that poorly on margins that’s already come out. And I’m sure everyone else has taxes et cetera. So could you help us understand a little bit better because you guys professed that you will run these hotels really well? So I’m just trying to understand how?
Dan Hansen: Jon, I think it’s a lot of factors that go into that I guess question. Margin expansion is just not always linear. There are things that factor into that. One is, some property tax, another are there is some brand initiatives from the franchise companies that can come in that take a while to recover rate that offset those whether it would be a new top sheet program, new Keurig coffeemakers for Hilton Garden Inn. There are a number of things that come in. We also have as we discussed some RevPAR disruption in the first quarter that is fairly meaningful 150 to 200 basis points of RevPAR. And I think there is – that is those components are one other things that put us in the position where we want to make sure that we get numbers out there that make sense.
Jon Evans – JWest LLC: So Dan, could you maybe help us, I think about since you guys kind of continue to disappoint. Can you help us think about when you think will start to see the illusive margin expansion? Is that 2015, is it 2016, is it when because I’m sure other people have to buy coffeemakers?
Dan Hansen: Sure. I think we did have margin expansion last year. We have had 165 basis points. So I can’t say that there hasn’t been any margin expansion. I think our process is one similar to others where we make changes, add resources. We have the ability to push rate in certain markets more than others. But we are certainly no less confident that our margin expansion will continue through the balance of our cycle and still get us to the level that we’ve been talking about for the last several years.
Stuart Becker: This is Stu. I might be able to jump in there as well and help a little bit. Just from a relative to margin expansion. We did 250 basis points of margin expansion in 2012, we did a 100 basis points of margin expansion in 2013. We think there is a little bit of perhaps a little bit of headwinds we’re somewhat conservative of our guide. We’d anticipate that when we finish up the renovations during 2014 that if we do in fact get elongated cycle where we’re pushing exclusively more rate than occupancy. We think we have got a good runway of two to three years of additional margin expansion.
Jon Evans – JWest LLC: Okay. So can you just help us understand in the RevPAR guide that you provided what are you expecting for occupancy versus rate this year? And then the other question I would have is, just you’ve given us when about the disruption in Q1. When does the disruption start to go away relative to the remodels? I mean do we start to see this potential margin expansion happen in Q3, Q4 or is it Q1 of next year?
Stuart Becker: Yes. To your first – this is Stu. To your first question I think the mix is probably 75:25 somewhere between 50:50 and 75:25 rate versus occupancy heavier on the rate side. On the second part of your question each hotel is a little bit different depending on how deep the renovation is and the work done. But we always figure that six to 12 months post renovation that we should see complete stabilization in results that are up.
Jon Evans – JWest LLC: Okay. The last question I would have for you is just kind of relative to the thoughts of the Board. So obviously, you guys have made a lot of missteps with your timing of your secondary et cetera. You professed to be very shareholder friendly, but if you look at your stock its trading below NAV, it’s been a disappointment relative to the group. And I’m just curious how do you think you write that at all and may be your thoughts relative to increasing the dividend or buying the stock back or heck do you go private it seems like the stock might be worth more in the private value than it is in the public market?
Dan Hansen: That’s the question that we do spend a lot of time revealing as far as what tactics we can take to continue to create shareholder value, which is obviously moving the stock price. We can continue to invest in our portfolio, we can continue to evaluate the dividend, dividends of big part of total return after the stock is still at the higher end, but it is something that we discussed with our Board every quarter. If the stock doesn’t react and we get to the point where we would legitimately look at stock buyback as a strategy, if our stock is at such level, where that is the best use of our shareholders capital, we definitely be in favor of doing so. So as far as the plan and strategy, we’re not in a position to raise capital. We’ve got a great portfolio. We’ve accomplished a lot of work and putting consistent numbers out in executing our strategy. We think we’ll get our stock back in line with the peers and provide a good return.
Jon Evans – JWest LLC: And do you find it all I mean, is the Board disappointed in management’s execution, or did you guys get any heat at the end of the year, or is everybody think, ever thinks hunky dory?
Dan Hansen: I don’t know that it’s just speaking for the Board, I think I’ll speak for the company as a whole and we’re not particularly pleased at the stock price performance and we’ve got strategies and plans to implement it and the things that we’re doing is as we’ve discussed that we think will drive shareholder value. So we’ve got a great Board that’s very supportive, but as far as Board discussions that’s nothing we’d get into on the call.
Jon Evans – JWest LLC: All right. Thanks. Have a nice day.
Dan Hansen: Thanks Jon.
Stuart Becker: Thank you.
Operator: We have no further questions. I will now turn the call over to Dan Hansen for any closing remarks.
Dan Hansen: Thanks everybody for dialing in today as we talked about several times we’re very proud of all the work we’ve done over the last 18 months and especially over the last several quarters. And really looking forward to a great 2014 and discussing our results again next quarter. Have a great day.
Operator: Thank you for your participation on today’s conference. This concludes the presentation. As well you may now disconnect. And have a great day.